Operator: Good day, everyone, and welcome to the Xinyuan Real Estate Company First Quarter 2019 Earnings Conference Call. Please note that today's call is being recorded. I would now like to turn the conference call over to Mr. Bill Zima of ICR. Please go ahead.
William Zima: Hello, everyone, and welcome to Xinyuan's first quarter 2019 earnings conference call. The Company's first quarter earnings results were released earlier today and are available on the Company's IR website as well as on Newswire services. Before we continue, please note that the discussion today will contain forward-looking statements made under the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, our results may be materially different from the views expressed today. Further information regarding these and other risks and uncertainties is included in our Form 20-F and other documents filed with the U.S. Securities and Exchange Commission. Xinyuan does not assume any obligations to update any forward-looking statements, except as required under applicable law. Today, you will hear from Mr. Lizhou Zhang, the Company's Chief Executive Officer, who will comment on the Company’s operating results. He will be followed by Mr. Xuefeng Li, the Company's Interim Chief Financial Officer, who will provide some additional color on Xinyuan's performance, review the Company's financial results and discuss the financial outlook. Following management's prepared remarks, we will open up the call to questions. With that said, I would now like to turn the call over to Xinyuan's CEO, Mr. Zhang. Please go ahead.
Lizhou Zhang: Thank you, Bill. Good morning, and thank you all for joining our first quarter 2019 earnings conference call. Our first quarter results show a good start to 2019. We are pleased to announce that our contract sales increased 26% year-over-year due to a steady and positive demand for our active projects in China. At the same time, our first quarter revenue more than doubled to US$468.9 million. During the quarter, we continue to make investments to support our long-term growth by acquiring a new project in Foshan. We also commenced presales of our new projects in Zhengzhou, which further contributed to our total GFA and total contract sales. Our overseas projects progress as planned. As of the end of the first quarter, a total of 177 units out of 216 units have been sold and closed in our Hudson project in Brooklyn, New York City. We also completed construction to the sixth floor of the Hudson Garden project in Manhattan. The structural call of our London, Madison project was completed in the first quarter, construction remains on track for the completion of 2020. Our Malaysia project remains on track as well. Our Xinyuan Property Management Company subsidiary has achieved a rapid growth these recent years. To further driving its development, we have applied to list the Xinyuan Property Management Company in Hong Kong. After the listing, we will continue to be the controlling shareholder in the fully consolidated company. We believe that listing on such a high-quality platform, where many peer companies are listed, we benefit all of our shareholders. They also pleased to be able to continue to deliver value to our shareholders with our dividend payment this quarter. Despite market and policy effects, we remain optimistic about our ability to achieve positive operating performance. We will remain focused on our core business and turn our competitive advantages and strengthen our market-leading position. Now please allow me to turn the call over to our interim CFO, Mr. Xuefeng. Xuefeng, please go ahead.
Xuefeng Li: Thank you, Mr. Zhang. Hello, everyone, and welcome to Xinyuan's first quarter 2019 earnings conference call. Allow me to take you through the financial results for this quarter, further discuss our latest operations and initiatives and conclude by updating you on our financial outlook for the remainder of this year. Please note that all figures are in U.S. dollars terms unless otherwise stated. Contract sales were US$479.7 million in the first quarter of 2019 compared to US$380.7 million in the first quarter of 2018 and US$724 million in the [fourth] quarter of 2018. Total GFA sales in China were about [211,400] square meters in the first quarter compared to [149,800] square meters in the same quarter last year and 355,000 square meters in the last quarter. Total revenue increased to [169.7%] to US$468.9 million from US$174.1 million in the first quarter of 2018 and decreased 57.1% from about US$1.1 billion in the fourth quarter of 2018. The average selling price per square meters sold in China was around RMB15,300 in the first quarter of 2019 compared to about RMB13,500 in the last quarter and about RMB15,900 in the first quarter of 2018. SG&A expenses as a percentage of total revenue decreased to 12% from 22.8% in the first quarter of 2018 and increased from 9.7% in the fourth quarter of 2018. Interest expenses this quarter was about [US$24.3 million] compared to about US$23 million last quarter, and US$29.8 million in the same quarter last year. Due to foreign exchange fluctuations, exchange gain in this quarter was about US$3.5 million compared to about US$652,000 exchange gain last quarter. Net income for this quarter increased to US$18.2 million compared to a net loss of US$12.7 million for the first quarter of 2018. Diluted net earnings per ADS attributable to shareholders was US$0.33 compared to US$0.15 per ADS in the first quarter of 2018. The Company repurchased 2.1 million ADS in first quarter of 2019. Balance sheet, as of March 31, 2019, the Company's cash and cash equivalents was US$1.1 billion compared to US$1.2 billion as of December 31, 2018. Total debt outstanding was around US$3.51 billion, increasing from around US$3.45 billion at the end of the fourth quarter of 2018. The balance of the Company's real estate properties under development at the end of first quarter of 2019 was about US$4 billion compared to [US$4.7 billion] at the end of the fourth quarter of 2018. Shareholder equity at the end of the first quarter of 2019 was about US$759 million compared to about US$746 million at the end of the fourth quarter of 2018. Project updates. As of March 31, 2019, our total unsold land bank was 5.5 million square meters. U.S. project updates. As of March 31, 2019, our Oosten project in Brooklyn, New York has recognized total revenue of about US$250.1 million from sales of 177 units out of 216 total units, representing approximately 82% of the total units sold. Our Hudson Garden project in Manhattan, New York, completed construction up to 6th floor, due to design drawing optimization, the total number of units increased from 82 to 92, a total of 29,000 square foot out of the 28,000 square foot of retail space has been leased to the U.S. department store retailer, Target with a 20-year lease. Presales are expected to begin at the end of second quarter of 2019. We continue to execute on planning governmental approvals and predevelopment of our ground-up development project in Flushing, New York. After the landmark protection committee has approved our landmark protection plan, we were awarded the Certificate of Appropriateness. Transfer work was completed at the end of February 2019. The Landmark artifact are now stored in a warehouse for restoration work. New key products update. In the first quarter of 2019, the structural core of the Manhattan project was completed, and the structural frame will be completed in the second quarter of 2019. Construction remains on track for completion in 2020. By the end of the first quarter of 2019, all of the 104 Affordable Housing apartments of the 423 units of Manhattan project have been pre-sold. Of the remaining 319 apartments, 133 apartments have been sold, representing 41.7% of the total number of units. Senior note issuance. To refinance and to optimize our debt structure in April, we issued US$300 million of 14.2% senior notes due 2021. Among which, US$200 million were issued at par, and US$100 million at 103.932, representing a yield of 12.3%. The proceeds have been and will be primarily used for repayment and the repurchase of our offshore debt. Dividend, we are going to offer a cash dividend for the first quarter of 2019 of $0.10 per ADS, which will be paid before June 20, 2019, to shareholders of record as of June 3, 2019. And finally, on to our full-year 2019 financial forecast. For the full-year of 2019, the Company expects an increase in the contract sales of about 10% and increase in consolidated net income of 15% to 20% over 2018. This concludes my prepared remarks for today's call. Operator, we are now ready to take some questions.
Operator: Thank you. I would now like to introduce Mr. Brian Chen, General Manager of Capital Markets department, who will be speaking with the answer and questions. [Operator Instructions] And we will take our first question from [Richard Geronimo], who is a Private Investor.
Unidentified Analyst: Yes. Hello, good morning. How are you guys?
Lizhou Zhang: Good morning. Thank you.
Unidentified Analyst: Good morning. Okay. I have a couple of questions. Do you guys – clearly, the Company is doing quite well. Do you guys have any thoughts about coming to the U.S, United States, and trying to pick up some analysts to follow the company?
Brian Chen: Yes. This is Brian Chen again. The General Manager of Capital Market department. It is actually really my role. After this call in a months or so, we do plan to organize a tour to U.S. to interact with our analysts and investors to talk about face-to-face and have a more in-depth conversation.
Unidentified Analyst: Okay. So, have you – obviously, you started the groundwork for it. Do you have some analysts from some major companies that are interested in following Xinyuan?
Brian Chen: At this moment, I'm not aware. As far as I know, Xinyuan is pretty much the only one real estate developer that originated from China, but listed in the New York Stock Exchange. Looks like we don't have a lot of coverages. That is one of the area that we would like to improve by doing some – a tour, some of the conversation on the ground. And we are going to enhance our Investor Relationship function, talking in more correction and have more conversation about the company's current status and the future plans.
Unidentified Analyst: Okay. And with the refinancing up to the 14.2% coupon, so you're still giving guidance of revenue of 10% increase and including the increased coupon rate and also an increase of the income of 15% to 20%.
Xuefeng Li: Yes. That is still the plan for the year. For the contracted sales, our plan is to have 10% increase, and the proceeds have the 10% to 15% increase. As far as we can see, for the Q1, we actually achieved the goal for the quarter. Q2, we are almost there. We are moving on to achieve the goal too. At this point, we don't see any major issue to miss the target for the year.
Unidentified Analyst: Okay. That’s great news. The Malaysian project, when – I know you've been doing the landfill or filling in the area, when do you expect construction to begin?
Lizhou Zhang: Already began about one-year…
Unidentified Analyst: Okay.
Lizhou Zhang: On our track, yes all the projects we look for will be end at – the end of this year or the next year, first quarter of next year.
Unidentified Analyst: Okay.
Xuefeng Li: So the landfill is supposed to be finished by the end of this year or early next year.
Lizhou Zhang: Yes.
Unidentified Analyst: Okay. And that’s the 170 acre area under water. Is that correct?
Lizhou Zhang: No. 100 acre.
Unidentified Analyst: Okay. It's actually 100 acre.
Lizhou Zhang: Yes.
Unidentified Analyst: Okay. So it’s 100 acres.
Lizhou Zhang: Yes.
Unidentified Analyst: Okay. I guess I have one more question about the Hudson deck. How is that going to be marketed? I mean, obviously, there's friction between Chinese and Americans. And how do you plan on marketing that, so that you get the best return?
Lizhou Zhang: Yes. It's hard to say because the situation is very hard fallen now because of some relationship between the two countries. We will base on the local market for now. Now we are assessing the market, and we want to determine our price of our beginning.
Xuefeng Li: Yes. That the project is located in the good area, Hell's Kitchen and compared to the building nearby, our price is reasonable. We believe – and we have a pretty good local sales and marketing team. At this point, we have no reason to believe that we cannot move the sale, based on the local demand and the local team.
Operator: We will take our next question from [indiscernible], Private Investor.
Unidentified Analyst: Hi. I had one question on the stock buyback program. I know last to last year, the Board of the Company had approved US$40 million to spend behind stock buyback. My question is how much of that approved amount remains for future stock buyback?
Lizhou Zhang: Would you please repeat…?
Xuefeng Li: Repeat the question. We didn’t get the – could you repeat your question?
Unidentified Analyst: Sure. The stock buyback program, how much money is available with the Company to purchase stock back from the market? Let me rephrase it, the Board of the Company had approved $40 million to spend behind stock buyback. And the Company has already bought back some shares. And then how much money is left for future buybacks?
Xuefeng Li: Okay. So for the original program, we have already used pretty much almost all of that so far. We are in the process to submit an application to our Board to apply for some new quarter to continue the program.
Unidentified Analyst: Okay. Thank you. That’s all I had.
Operator: [Operator Instructions] We will take our next question from [Mark Smith], Private Investor.
Unidentified Analyst: Hi. Great earnings call for you guys. I just have one question. So I see that you guys have both opportunities on New York. I was just wondering if you guys are seeing any opportunities in other cities than New York or maybe even Europe.
Xuefeng Li: For the moment, the Company – it is in middle of the process looking for new opportunity, but we are not expand without principle. We only looking at the quality project that we can manage it, and we can make sure to return reasonable profit and return to the Company. We keep ourself open. At this point, we are not limited by the region and the area. Obviously, previously, our presence in New York, in London and Malaysia, this would be the base that we are trying to focus on.
Unidentified Analyst: Okay. That’s all I had. Thank you.
Operator: That concludes today's Q&A session. I will now like to turn the call back over to Xuefeng Li. Please go ahead
Xuefeng Li: Okay. We thank you for joining us on today's call, and we appreciate your ongoing support. We look forward to updating you on our progress in the weeks and months ahead. Thank you, again.